Operator: Good day, everyone. My name is Hector and I will be your conference operator on today's call. At this time, I would like to welcome everyone to Live Nation Entertainment's First Quarter 2022 Earnings Conference Call. Today's conference is being recorded. Following managements prepared remarks will open the call for Q&A. Instructions will be given at that time. Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risk and uncertainties that can cause actual results to differ, including statements related to the company's anticipated financial performance, business prospects, new developments, and similar matters. Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the company's most recent filings on forms 10-K, 10-Q and 8-K for a description of risk and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance with the SEC Regulation G, Live Nation has provided definitions of these measures and a full reconciliation to the most comparable GAAP measures in their earnings release or website supplement, which also contains other financial or statistical information to be discussed on this call. The release, reconciliation and website supplement can be found under the financial information section of Live Nation's website @investors.livenationentertainment.com. It is now my pleasure to turn the conference over to Michael Rapino President and Chief Executive Officer of Live Nation Entertainment. Please go ahead, sir.
Michael Rapino: Good afternoon and thank you for joining us. Momentum has picked up for all of our businesses over the course of the first quarter. And as a result, we have delivered financial performance that greatly surpassed our previous expectations with AOI of $209 million. Artists are back on the road and fan demand has never been stronger. The reflection of live events remain a clear priority for consumers as our social lives restart. Ticket buying serves as a leading indicator to our overall business. Ticketmaster's strong first quarter performance drove the company's overall profitability and shows how well our concert and sponsorship businesses are positioned to deliver record results this year. Despite some markets taking longer to reopen, the quarter was our second highest ever we transacted GTV, excluding refunds, trailing only Q4 2021 with March being our highest transacted GTV month ever. In primary ticketing, we're now benefiting from the 17 million new fee-bearing tickets we gained in 2021, which helped us drive transacted GTV for the quarter up 33% relative to 2019. This quarter was also added 7 million new additional tickets through new contracts with Venues as well as content creators, setting us up for ongoing growth this year and into 2023. Our secondary ticketing GTV growth was even higher up 106% relative to 2019 driven largely by average retail ticket price up 20% relative to 2019 and a tremendous fan demand pushed up the market pricing, Ticketmaster, gaining additional market share by effectively leveraging its team and league partnerships across NFL, NBA and other sporting events. And the market continued growing at double-digit pace, demonstrating high demand for live events, as well as how much runway there is for continued pricing, efficiently. Fan demand and signing of new contracts accelerated even faster than expected this quarter, reinforcing the Ticketmaster as the enterprise platform for choice of teams, artists and content creators, and continuing to be the most effective fan marketplace. Our sponsorship activity fully returned in Q1, delivering financial results that well exceeded 2019. We're seeing growth across a number of dimensions, expansion of existing relationships, new categories expanding our breadth to partners and new ad units being created both onsite and online. The number of strategic sponsors that generated over $1 million of revenue per year has risen by almost 30% since 2019. With our committed span up 70% and accounting for 80% of our total sponsorship revenue, about 60% of this growth has come from three categories of particular priority over the past two years; technology, telecom and purchase path integration, which has collectively more than doubled their sponsorships since 2019. Much of our focus with brand partners is how we collectively elevate the fan experience. We've had great success with this in recent years. And so far this year through our partnership with Verizon, we started powering our Venues with cutting edge 5G connectivity and are launching initiative with Snap to give artists augmented reality capabilities at shows and festivals. At this point, sponsorship sales are up double digits relative to 2019, and we have a solid 90% of our planned sponsored for the year, positioning us for continued strong financial performance. The concert division, all leading indicators, point to double-digit growth and fan attendance at our concerts relative to 2019. Approximately 11 million fans attended our shows in the first quarter compared to 15 million fans in 2019. This was expected as we planned for limited concert activity in the early months of the year to allow for markets to open. But more importantly, we continue to build our flywheel with over 70 million tickets now sold for shows in 2022, up to 36 million, compared to 2019 and committed show count is up 44% through the end of April, relative to 19%, setting us up for continued ticket sales over the year. We continue to see the fans are showing up for the concerts they have tickets for, with attendance rates in the US across all venue types at 2019 levels with no shows generally in the low mid-single digits. The industry continues to embrace market-based pricing, particularly on the best tickets, shifting $500 million to artists for shows this year, resulting from a double-digit increase in ticket pricing and reducing the price arbitrage in the secondary market. At the same time in the US, the average entry level price to get in and enjoy the show remains under $35, approachable for almost all fans. Early reads on consumer spending on our shows across the US and UK also indicate fans continue their spending when they get to the show. We had two million fans at 10 shows at our theaters and clubs in the first quarter with average per fan revenue up 30% relative to 2019. And we've had four festivals over the past few months to lean over 300,000 fans with average per fan revenue up 30% also. Looking ahead to the summer and the rest of the year, we remain optimistic that we are just getting going as all leading indicators reinforce record activity levels and financial results. Ticket sales were at record levels in Q1 with momentum building over February and March. We sold almost 20 million more tickets to our concerts this year in this point in time in 2019, with large number of tours still to go on sale and concert fans are showing no sign of slowing down. They're paying for the best tickets, attending the shows and spending more on site as they create lifetime memories. We're continuing to build Venue Nation, our platform of operated Venues with a pipeline of 20 Venues, including the recently open Moody Center in Austin, in addition to adding 38 more festivals this year. Sponsors are looking to spend more this year on live entertainment than ever and Live Nation's scale and global platform is making us the partner of choice. While the US and UK have driven much of our activity over the past year, the rest of the world is now rapidly opening up. Assess this financial performance for the quarter, exceeded its 2019 results and both Latin America and Western Europe are expected to have record attendance for our concerts this year. I continue to expect this just to be the start of our run, the global addressable markets for concerts, ticketing and sponsorship, all provide a long runway for continued growth. We have over 60 tours already under discussion for 2023, our earliest indicators of next year in great positioning for ongoing growth. With that, I'll turn it over to Joe.
Joe Berchtold: Thanks, Michael and good afternoon, everyone. Given the unique situation in 2020 and 2021, Q1 of 2019 is the best comparison for us in terms of understanding our operations and key performance indicators. So while I will provide some commentary around our results relative to Q1 of 2021, most of our focus will be relative to 2019. Overall, our AOI of $209 million for the quarter was $361 million better than 2021, led by an improvement of $269 million in ticketing, $66 million in sponsorship and $26 million in concerts. This was our highest Q1 AOI ever exceeding Q1 of 2019 by $94 million, which had been our previous record first quarter. Let me give a bit more color on each division. Then I will give you more on 2022 leading indicators. First ticketing was again the star of the quarter delivering $206 million in AOI, making it the second best quarter ever for ticketing and more than doubling the Q1 2019 AOI results of a $100 million. The first quarter of 2021 was heavily impacted by the pandemic resulting in an AOI loss of $63 million. Ticketing was successful across the board. Let me give a few key statistics for the quarter. Our growth came from both primary and secondary ticketing with transacted GTV, excluding refunds up 33% and 106% respectively. Transacted ticket volume, excluding refunds were 63 million tickets, our fourth highest quarter ever, and 7 million tickets higher than Q1 of 2019. Transacted ticketing GTV excluding refunds was $6.3 billion, our second highest quarter ever after Q4 of 2021 and 39% higher than Q1 2019. This was driven by concerts and sporting events whose GTV were up 49% and 73% respectively relative to Q1 2019. A continued shift toward more market-based pricing help grow our GTV levels with average primary ticket prices up double-digits for the first quarter, relative to Q1 2019. And in resale, our average price increased 18% while our overall resale GTV doubled compared to the first quarter of 2019, indicating that demand for the top seats across all live events continues to outpace efforts by sports teams, artists, and others, to capture more of the full value from their events. As the first effectively normal Q1 since 2019, we are seeing that digital tickets have now become the norm across live events with the NFL and NBA leading the way with 96% of fans using digital tickets to enter games up from 53% in Q1 of 2019. More broadly, 72% of our tickets globally were digital in Q1 of 2022, relative to 33% in Q1 2019. With this level of digital adoption, we can now accelerate our efforts to foster our direct fan relationships this year and into 2023. Next, sponsorship continued to ramp up with the reopening of Venues and expanded online opportunities. As a result, 2022 Q1 sponsorship and advertising AOI of $70 million grew by 75% relative to 2019 Q1 AOI of $40 million. This strength comes across both onsite and online each delivering record Q1 AOI. The growth versus 2019 was driven by expansion of our online business, new festivals that launched in the quarter and the addition of O's brand partners. Finally, in concerts, our AOI was a loss of $49 million, which compares to a loss of $74 million in Q1 of 2021 and positive AOI of $5 million in Q1 of 2019. As we indicated on the last call, we planned for fewer arena tours in Q1 this year, which typically drives our first quarter performance, resulting in concert seasonality that will be even more Q2 and Q3 driven this year than has historically been the case. In the quarter, we had nearly 11 million fans attend 6,600 events continuing to be led by the US and the UK, which accounted for almost 80% of these fans. In comparison, Q1 of 2019 had 15 million fans and 8,200 shows when all of our markets and all venue types were fully open. For ticket sales through late April for shows playing off this year, our average ticket price was up double digits relative to the first quarter of 2019, again mainly driven by demand for the best seats. At the same time, our average entry price remains less than $35 overall and less than $30 for amphitheatre and club shows. Michael mentioned that no-how rates were back to pre-COVID levels. So I wanted to give a few more specifics to hopefully set the record straight. Looking at the full year through mid-April for the US, our no-show rates were the same or better than the same period for 2019. For arenas, they were 1% better for amphitheatres, they were 4% better, for theaters and clubs, they were on par and all up, we are 2% better. We haven't had enough volume on other outdoor events to have meaningful metrics yet, but generally those Venues had strong re-openings last summer and so we don't expect any issues there and used there. In general, the US was ahead of the rest of the world, but the UK is now fully backed to pre-pandemic, no-show rates as well and we have not seen any evidence in any markets of any long-term impact on our shows. Michael gave you the top line on our first quarter average revenue per fan growth up 30% for both theaters and clubs and festivals. For theaters and clubs, key drivers include onsite concessions and upsells and for festivals, the growth was heavily driven by onsite concessions and increased VIP purchases. All indicators have continued strong fans spending as they look to make the most of going to the show. Finally, COVID continues to have less and less impact on our concert schedule and by March in the US, we cancelled only around 1% of our planned concerts. As we look to the remainder of 2022, looking at our leading indicators through the end of April 1, confirmed show bookings are up over 40% overall and up double-digits for each amphitheatres, arenas, stadiums and festivals. Second, ticketing has sold 130 million fee bearing tickets for events this year up 26% from this point in 2019, of these, 88 million tickets over concert events, which is 40% higher than 2019. Related to this, we have $3.5 billion in event-related deferred revenue, almost twice the level of Q1 2019. These are largely tickets that have been sold by Ticketmaster for Live Nation concerts, but the revenue in AOI hasn't flowed through yet and will do so over the course of this year, as events happen. On the sponsorship side, commitments are up double-digits from this point in 2019 and overall we have more than 90% of our plan sponsorship net revenue for 2022 set. On the cost side, we're obviously tracking closely cost increases associated both with labor and in general, with supply chain challenges and inflation. These costs tend to hit us primarily in the Venues we operate; amphitheatres, theaters and clubs and festivals. For amphitheatres and theaters and clubs, labor is the largest factor given we have our Venues in place. Across this entire fan base, we expect our variable cost per fan, excluding talent to increase by $2 to $2.50 relative to 2019. This remains well below our average revenue per fan growth and so we still expect to grow average per fan profitability across our operated Venues this year. Festivals have a broader range of costs given the wider set of equipment and services involved in building these events. Current projections are that variable costs per fan excluding talent will be up 7% this year, which is well below our expected increase in ticket revenue per fan. Helping offset all these costs is the $200 million cost reduction exercise that we executed last year, which remains well in place. A few other points on 2022, we now expect OCESA will deliver full year results in line with 2019 levels as Mexico is fully active with most of their AOI flowing through our sponsorship and ticketing divisions. In light of the OCESA acquisition, we wanna provide more guidance on a few mine items below AOI, which impact our earnings per share calculation. First on depreciation and amortization, we expect the combination of these accounts to be roughly in line with 2019. The addition of OCESA is offset by the impacts of our reduced investment in CapEx and M&A over the past two years. With the acquisition of OCESA and anticipated strong performance of our festivals, many of which are joined ventures, we expect non-controlling interest expense will be roughly double 2019 levels. We are projecting increasing to be about $150 million this year. Again, the increase compared to 2019 is largely attributable to the OCESA acquisition. As a result of the additional financing opportunities over the past two years, our interest expense is now roughly $70 million per quarter. Finally, in comparison to 2019, we expect income tax expense will grow in line with our AOI growth. In anticipation and the growth opportunities ahead of us this year, we continue to expect 2022 capital expenditures to be approximately $375 million with two thirds of this spent on revenue generating projects. We generated $89 million of adjusted free cash flow this quarter and expect free cash flow conversion from AOI to be back in the fifties for the full year. We ended Q1 with $1.9 billion of available liquidity between free cash and untapped revolver capacity, giving us sufficient flexibility to invest in growth. We are comfortable with our leverage with over 85% of our debt at a fixed rate and our average cost of debt is roughly 4.3% positioning as well in this interest rate environment. With that, let me open the call for questions. Operator?
Operator:  Your first question comes from line of David Karnovsky with JPMorgan. Please proceed with your question.
David Karnovsky: All right. Thank you. Michael, you've given a lot of great leading indicators for '22. So I apologize to jump ahead, but you did mention in the release 60 tours and discussion for '23 and was hoping you could put some context around that. How elevated would that number be, kind of relative to what you might normally be looking at this early on and is there a way to kind of think through how much of that is sort of backlog continue to work through from the pandemic versus sort of just you organically increasing your footprint?
Michael Rapino: Yeah, thank you. The '23 is really no backlog. '22 is the year where we would've flushed out any reschedule tours from 2019 '21, wherever. So 2023 is kind of if you want to call almost back to business and yes, it's a very vibrant pipe. I think we said at the Investor Date, if you want to kind of scale back and look at the next five years, you can kind of look at what we did going into '19, where we looked at the industry growing at almost 10% a year on a compounded basis. We think the industry is going to be doing that again. It's back to full growth, high quality growth sector industry and we think we tend to outperform the industry. So we look at '23 will be a, if you want to call it a record year coming off of '22, and we think we're in for multiple record years of growth.
David Karnovsky: Okay. Grant, and then just on Ticketmaster, I was wondering if you could just walk through some of the drivers of the strong secondary growth you're seeing in particular, you mentioned share gains, whereas in the past, I think we tended to think of market shares for you and your competitors as generally stable. Maybe you could just speak to some of the initiatives, you taking it to league or team level to kind of drive that higher. And then just as a follow on, is there any update you can provide on the NFL relationship just given that's now extended to 2026. Thanks.
Joe Berchtold: Hey David, this is Joe I'll take it. And I think the questions are related. Start with the NFL. We entered the partnership with the NFL four years ago, I guess, and that relationship was really technology driven and it was a mutual strategy of figuring out how do we shift the industry to digital ticketing? How do we understand identity-enabled relationships with the fans, for the leagues, for the teams as well as for Ticketmaster and that's proven to be very successful and obviously coming out of COVID not surprisingly, the NFL said, what's the next technology agenda. We worked with them on deploying NFTs and they said, this is all great, better to talk now about linking back up for the next five years. So we know we can work together and figure out what's the next technology unlocked. How do we continue to use technology is really it's the core of the relationship or the starting point of the relationship with the fans. So that's what led to the renewal. We're excited about it. We think the NFL's been a great partner and we'll continue to be. So naturally as you do that, we continue at Ticketmaster to get smarter and smarter about the fan as well. That lets us continue to use our alignment and our mutual interest with the teams and the league in terms of driving Ticketmaster share in the secondary. So we're taking all the data we have, all the information we're working with them on all of their assets to help acquire customers, to use all the season ticket holder inventory, to continue to drive our share and provide a great marketplace, a great experience for fans to be buying those tickets. So combination of all of those has led to increasing share which is as Michael talked about part of how we've doubled secondary in the first quarter relative to 2019.
David Karnovsky: Thank you.
Operator: Your next question comes from Stephen Laszczyk - Goldman Sachs. Please proceed with your question.
Stephen Laszczyk: Great. Thanks for taking the questions. Just to start, I think there's been a fair amount of concern on the macro front. You touched on a little bit at the end of your prepared remarks, but I was curious if you're seeing any signs of consumers changing their spending habits, whether that's on the initial ticket purchase or once they get to the venue against what's turning out to be a pretty difficult inflationary environment. Any data points from the last few weeks I think would be helpful there.
Joe Berchtold: Yeah, I think this is Joe. I think all of the data points that we're seeing continue to be very strong. Look at our concert ticket sales as we look in March and April, each of those months the ticket sales were up 20% plus relative to 2019. So through March and April, I think we've seen some of these pressures, the gas and so on for a few months now. So not just a few weeks, so we've seen no impact at all on the concert ticket sales. We talked about the pricing, seeing no impact on the take rate of those tickets and the onsite spending the EFs again seeing those up substantially relative to 2019. So no impact there. So from all the different angles that we've looked at it, we have not seen any pullback in consumer behavior. I think that this continues to be part of people want to get out, have a social life, to spend on experiences taking money away from spending on goods. And a lot of what we do is we spoke to the $35 overall average entry price for a ticket or $30 for clubs and amphitheatre. It continues to be a very affordable night out for those that need to be most conscious of that.
Stephen Laszczyk: Thanks. That's helpful. And then I think in the pressure release, you mentioned some opportunity to create new ad units on the sponsorship side, both on site and online. I was wondering if you talk a little bit more about this opportunity and the new inventory, how much of it you expect to create over time and whether that might help bring in new ad categories?
Joe Berchtold: Well, it is creating new ad categories, right? We talked about that in the technology space, in the FinTech space, throughout the whole purchase path integration, all of that is creating new categories and that's, what's driving even this year a lot of the growth in the sponsorship business. Michael talked very explicitly about what you're seeing on site. Two great examples of how technology's being used to enhance the live experience with Verizon, putting in the infrastructure with the 5G connectivity and with snap as a great product development, product design organization, coming up with some ways to use their products and augmented reality to enhance the onsite experience. So really on the onsite piece, this is all about how do you make a better and better fan experience? And we've got great brands, partners that we work with that are looking to do more and more to make that possible and then as we continue to work on the Ticketmaster marketplace, tie that in with the increased data that we have from the digital ticketing that we were just talking about, how do we create more tailored ad units and make more opportunities for more sponsors to connect with those fans as well.
Operator: Your next question comes from Brandon Ross with LightShed Partners. Please proceed with your question.
Brandon Ross: Hi, thanks for taking the questions. Just wanted to build the macro concerns that the last analyst kind of laid out and insofar as inflation and gas prices are concerned, I think the results speak for themselves, but investor pushback has now moved to the possibility of recession and how that would affect you given how deeply consumer discretionary you are. How do you think about your positioning at this point, if a recession scenario played out? Your company and the industry looks very different than it did in 2010 when we lost less of that kind of macro pressure, can you kind of compare and contrast and I know you were booking those acts for next year, kind of far in advance, how much flexibility is there in those contracts?
Joe Berchtold: Sure. Brandon, This is Joe. Oh, go ahead.
Michael Rapino: I was -- I'll start and then Joe and jump in. What we always think is one of the great advantages of our business is the pricing is variable, right? So there is no set cost of good. The cost of good is determined by the artist if they go on the road and they're variable. So that makes our product something that can move around on pricing, whether it's taking advantage of the front row pricing, that's under-priced or moving the total ticket price down in the back end of the house or reducing the overall price of the ticket to meet the market and the demand. So historically this is an industry that's been fairly recession proof. It's still, as we've seen, this is still one of the top three entertainment choices for consumer, but the most affordable. So you may not in a recession take that trip. You may not have a large out a purchase of a dishwasher, but you will still go down to amphitheatre or the club or the theater and have a great adventure and a night out for the value. So we have always seen historically over time, the consumer still looks at the concert as a high value item that even during the recession, if there was a pullback, this is something they still can afford to do. And it's actually a great alternative to a higher priced, maybe travel package. So one, we think it is a -- still a much a very affordable option for consumers and pricing will continue to be something that we can adjust. If we see any pullback, artists will always have one motive the same as ours, fill the house, get everyone in the house. So right up until the hour of the show, we always look at variable and dynamic pricing options to say, how do we get the house full. Joe?
Joe Berchtold: Yeah. And just to build on that first is we now have a level of information that is very -- we didn't have even 10 years ago and almost no industry has called the secondary market. So to Michael's point on pricing flexibility, we have the benefit of knowing real time, what is market pricing and so on one level, you can think that billion dollars plus of price arbitrage that exists on our tickets, that's the first wall of defense in any recessionary environment that pricing comes out first before our pricing's even impacted. And we have a great read on what is the supply that dynamic to be adjusting as we go along. And then along with that, again, you have, again, the macros of the shift of spend from experience -- from goods to experiences, which is continuing. You have the wealth built up and the biggest gains in terms of the income with a lower quartile. So you've got good revenue there. Still, you've got affordable entry prices that we've talked about on the tickets. So we continue to think that as long as we stay focused on what is the value perceived by the fan, stay aligned with that. We'll be able to bring the acts out and sell the tickets.
Brandon Ross: Great. And then for the first time that I can remember, at least you called out the per caps at theatres, clubs and festivals, it's not something you usually talk about. That's usually the amphitheatre opportunity. Can you kind of help us understand where you stand relative to the amphitheatre opportunity on per caps at those other owned and operated venue types and how much upside there could be for investors in that area?
Joe Berchtold: Yeah, we called out the theatres and clubs in the festivals this quarter because we knew that all you guys were going to want some data on what's going on with the fans on site. It being the first quarter, we don't really have amphitheatre data yet. So we were trying to use what data we could have on our other buildings, the theatres and clubs and festivals and then also to tie that back to any questions on costs. So that was the purpose of doing that was to give everybody comfort that we had still a very strong onsite consumer behavior. We don't have the date on amputates yet for the summer, but again, taking that as the leading indicator, we feel good about it. And we think there's a long runway. We talked in February about how we still think that there's 30%, 40%, 50% increase in our onsite spend, as we do a better job on some of the VIP and premium offers and do a better job of how it is we're marketing and selling upsell opportunities on site.
Brandon Ross: Great. Thank you very much.
Operator: Your next question comes from Stephen Glagola with Cowen. Please proceed with your question.
Stephen Glagola: Yes. Thanks for the question. Joe, on Latin America expansion, can we just unpack sort of the assessor guidance of delivering full year results in line with 2019 a bit more? I have, for my calculation, it's about like $500 million in revenue and $85 million in EBITDA. Is that correct? Is that sort of the baseline, and then typically you guys have been able to organically grow on your M&A 70%, 80% plus in the first couple years after consolidating that asset. Is that a similar type of growth that we should expect as analysts in our model?
Joe Berchtold: So I guess, let me break into a couple of pieces there. So this year we expect both Mexico and Latin America broadly to do well. I think that it would be a very strong Latin America year relative to '19, even without OCESA, having OCESA only makes it all that much stronger. Your numbers aren't terribly far off. You have to kind of triangulate. They're within the general ballpark of what our numbers would be for '19 and therefore for '22. I don't think we're ready to start declaring the specifics of what OCESA is going to be in '23 or '24 yet. Give us a little time to get there with them and we'll keep you updated on it. But we do see Mexico and Latin America more broadly, certainly as one of our great growth drivers over the next few years.
Stephen Glagola: Okay. And then thanks for that.
Michael Rapino: Both concerts -- both concerts and Ticketmaster, just to remind you, it's a huge upside in Mexico and ticketing and that we, we're only a 30% owner to Mexico. And now that we own it, we've already had the team down there. We're upgrading, they're still living on a green screen with not much feature functionality. So big upside secondary, etcetera, to add in Mexico and throughout Europe. So big growth opportunity, both in concerts and sponsorship and ticketing.
Stephen Glagola: Okay. Thanks Michael. And just one more on modeling questions for the rest of this year and guidance, you have these two, obviously the big Rock and Rio festival scheduled this year that had a outsize impact. I believe on the sponsorship segment in 2019. Just, how should we be thinking about that impact on the P&L this year? And then also, this is the fourth consecutive quarter now with ticketing AOI margins above 40%. Is this -- I believe this is probably just driven because most of the business in the US and UK right now, but is that something, we can expect throughout the remainder of the year, or do you expect that to moderate closer to the mid-thirties as the year progresses?
Joe Berchtold: In terms of Rock and Rio, I think we've got that again this year. So I think it would be consistent with '19 in that regard and in terms of Ticketmaster you're right. It's continuing to do great. The margins are flowing through it is benefiting from the US waiting if you will right now, but with the cost taken out, we think it, this year probably be a high thirties margin when all is said and done, and you get some rebalancing with some of the international, which is a lower margin business.
Stephen Glagola: All right, appreciate it. Thank you, Joe. Thanks, Michael.
Operator: Your next question comes from David Katz with Jefferies. Please proceed with your question.
David Katz: Hi afternoon. Thanks for taking my questions. There was some earlier discussion around broad-based consumer trends, but I recall your investor event, there was a fair amount of talk about utilizing the premium end of pricing and platinum and other kinds of high end. Can you maybe unpack the price ranges on things and Joe, I know some of your comments were addressed more toward the average or even the value customer. Are you seeing any change at all, positive or negative at the high end?
Joe Berchtold: No, absolutely. The over the overall double-digit increase is driven by the high end across our major stadiums arenas. Amphitheatres, I think we've probably about doubled the number of tickets to go into what we call the platinum or market based pricing. So more than anything else is probably more of the tickets are getting market priced or closer to market priced, and then depending on the artist than the show, yes, it's also flexing upward from where it would've been historically, as we try to get closer to the true market price. Even as doing this, you can tell by our commentary about the size, growth of the secondary we've helped move $500 million to the artist this year, but I think the secondary has grown more on our tickets. So it's not that we're out there capturing every penny even while getting these increases this year, but we're continuing to try to move in that direction.
David Katz: Understood. And if I may follow up in a different direction it's the first time probably in 2.5 years that we would even raise it. But how are you thinking about leverage and cap structure and how much cash versus how much debt. Is that, I see a pattern going back a number of years, but any change in how you might think about that going forward?
Joe Berchtold: Well, I think one of the things that gives us a lot of comfort is that over 85% of our debt is fixed rate. So we're sitting at 4.3% in a pretty fixed debt structure with short-term increases having a fairly limited impact on us. So I think we're feeling fine about our about our total debt level. Our total coverage based on our AOI, I think continues to be very robust and we don't have any concerns about being able to grow in from an AOI standpoint and into our debt.
David Katz: Okay. Thank you.
Operator: Your next question comes from Ben Swinburne with Morgan Stanley. Please proceed with your question.
Benjamin Swinburne: Thanks. Good afternoon. I have two questions. First, just on -- back on Ticketmaster, I think you guys talked about or had in the release 7 million new tickets one in the quarter, 14 last year. It's really strong in terms of adding new business. Can you talk a little bit about, any context to what kind of business you're adding, US versus international, venue type and what's driving that and whether you're seeing any increased competitive behaviour. We sort of hear about competition on the primary side, including on price, but it doesn't seem like it's affecting Ticketmaster share gains at all. So just be interested in some more color around the success there and whether this taste can keep up.
Joe Berchtold: Yeah. I think the 7 million story is the same as the 17 million story. When you're at this scale, it's everything. International has been very strong, which has been driven by the dramatic improvements in the international product that we've had as we move to a single integrated platform. And that has further differentiated us, particularly internationally, relative to where we've been. At the same time, we've had continued success in the US and many of the discussions are product driven. The confidence that working with Ticketmaster, you're only going to have the best enterprise products in the best marketplace today, but the level of investment that we're making and the scale of the dollars being spent to build new product is unparalleled in its commitment to continuing to enhance for the teams and the artists and the fans, what their experience is gonna be. You always have price pressure, you have price competition and everything. There's no new news there. That's what you always have. It's always your job as a company to figure out how do I continue to create my product so that it's differentiated so that it reduces the price. And then how do I continue to get more efficient and make money in other ways off my flywheel so that overall my aggregate economics continue to improve, nothing new there.
Benjamin Swinburne: Got it. And then just on back on the macro, I know everyone's concern given some of the other earnings results we've seen in this quarter. Your sponsorship business, Joe, I think it's largely sort of longer term contracts. I think you might have some, kind of display advertising in there. We've heard some of the big digital ad players that businesses have softened here in the second quarter. Can you just remind us how long duration that business is for you guys and if you're seeing any signs of softening in any part of your sponsorship business has given what we've heard from other companies. Thank you.
Joe Berchtold: We're not seeing any signs of softening. Michael gave you some of the numbers on these -- on the large relationships that we have, the million dollar plus relationships that have been our focus on growing the number of those relationships, the breadth of assets that we provide to them, and just how much of our sponsorship base they represent. So they're coming at it from multiyear, multi-asset saying we want to be present at the festival at the amphitheatre. We also are going to have an online presence. It's a much higher level of integration than just a simple ad by with some of the other players out there. So we're not seeing that impact at all.
Michael Rapino: And, Ben, just to jump in also on, I know you had brought it up also, our no-show rates I know that's always been some rumour go out there, but as we stated in our release, we're seeing no challenges at all. People are showing up to the shows. We are showing similar to 2018, '19, your regular low digit no-show rate of people that don't make it to the show. But back to normal, people come and drum to those shows no issues at all in terms of showing up.
Benjamin Swinburne: Yep. I saw that you, Michael.
Operator: Your next question comes from Ryan Sundby with William Blair. Please proceed with your question.
Ryan Sundby: Hey guys. Thanks for the question. You mentioned 20 new Venues in the pipeline and 38 new festivals, I guess, starting on the, the festival side is something coming from OCESA. How many of these are, or maybe first time and were you able to pick up a, a large number here of festivals that struggle during COVID and then on the venue side, how should we think about the, the timing of those opening up and maybe the size in terms of overall staying capacity that could add.
Michael Rapino: On the festival side, we, we have a, a few great festival companies in Europe and America. And part of the success of live nation has been about organic growth, continuing to grow the business finding you know, new market shares, new global entry points and festivals being a big part of regenerating our business. So we're always looking to add every year and let our festival companies launch new ideas. And this year we've had some great success. One of our young companies, C3, it's been in business with a strong festival promoter, Jeff Shoeman. We launched a, when we were, when we were young festival out of Vegas, we hoped to sell 40,000 tickets. We sold over 160,000 tickets in Vegas; so huge success in a brand new festival. So we love those stories. We encourage all of our festival entrepreneurs to take swings every year. We usually have a 50% success rate. Some of those go on to be great brands. Some you fail fast to move on. So 38 was a indicator. I'll let you know, we have a large, a hundred plus portfolio of festivals around the world, like amphitheater and Venues. There are high margin business because of sponsorship, food, and beverage. And not only do we look to acquire and bolt on when we can, but we are a big machine of organically creating new festivals that the majority of our growth and this year we're back to full speed on letting our entrepreneurs go swing and create some new revenue for us.
Ryan Sundby: Great. How about here Venues?
Michael Rapino: Joe? Joe can jump in. It's a similar story. We're just starting, continuing, I mean, Venues would be one that we didn't really slow-down during COVID because they have a longer lead time. So if you, you look at our venue nation division that we highlighted in the investor day and kind of our continued focus around our 300 plus Venues that we operate around the world. I think we said we have probably 75 in the pipe and we annually open up probably about 20 new festivals around the world. So we're on plan, continuing to move on that aggressive front to continue expand on a global basis club theatre and a theatre. We just opened a beautiful arena in Austin last week to record sales, record results proud of that one and more to come. So continued opening and phasing throughout the years we've been doing historically.
Ryan Sundby: Great. And then it sounded like 72% of tickets were, were digital and Q1 versus 33% in, '19. I know most of the attendance this quarter though came from the U.S. and the UK, which I assume led the, the digital rollout. So I guess how should we think about digital penetration moving forward? And I maybe, can you talk a little bigger picture if you, if you're starting to act on, on that data that you're collecting?
Joe Berchtold: Yeah, I you're right. It's helped a little bit. I still think we end the year probably around 80% globally. A lot of this has to do with not just the infrastructure on our end, but rolling out the access control new systems that have to get deployed for each of these Venues and doing that on a global basis, just with some of the supply chain in terms of getting those pieces in place. It'll take a little bit of time, but we're making great progress and we're already acting on the data. Just saw some of the information yesterday, looking at how we're using it for more effectively targeting the marketing. So when you, your email from live nation on what concerts, it's much more tailored to you than it was in 2019 as a result, the click through rates and the buy rates are up substantially. And then as we get into the summer, and we have people going to our operated amphitheater as our operated festivals, we expect that we'll be able to use that digital connection to more effectively market upsell connect sponsors with fans. So we'll see all of that activity beginning in much more earnest in the in this year.
Joe Berchtold: Great. Hear, thank you.
Operator: Your next question comes from Matthew Hargan with Benchmark. Please proceed with your question.
Matthew Hargan: Thank you. Two conceptual questions, firstly the end  it feels like it's a nice digital memorabilia compliment in experience versus something that someone buys it at Sotheby's and it's right in your wheelhouse. You know, what innovation are you seeing with the NBA this season in the NFL? And there's a way to really personalize it even more and have more variety? And then secondly, at your investor today, you talked a lot about hyper slicing nomenclature sounds very Elon Musk, does that also have some affectability to Mexico with ESSA and even some of the European markets? I know you talked about that really keeping the U.S. around 40% of the TA, but some of those other larger markets, it seemed like you could apply that concept of local act acts over a period of time? Thank you.
Michael Rapino: Yeah. On the NFT, I think I think we're deep into discussions and product development and testing. Like all of the leagues are doing, we have a, a dual a lens. If you want to call it on Ticketmaster side, we are working in hand in tandem with the NFL and NBA on minting, all of the tickets. We did all the super bowl tickets through Ticketmaster that were NFT souvenirs. We're doing it for the teams. We've been working with mark Cuban and others. So on the Ticketmaster side, we're getting to see all of the best versions of what some sports teams and brands are doing with NFTs. On the concert side, we've worked on our artist management division with our artists and seen some of the versions that they're looking at, whether it's in the metaverse, whether it's a fortnight or whether it's a song on an NFT. So we're looking and learning on that side and on the live nation side the NFC is really just an extension of what someone mentioned earlier, the digital ticket. I mean, the, the most important thing for us overall is to have identity tied to the ticket. So, so moving from a PDF ticket where we knew nobody, it had no contract, it had no rights, it had no carry on value, moving to a block-chain, digital NFT ticket in general that just opens up the doors to first having identity tied to the ticket. So we can have a better conversation with you. And we think NFT to that ticket, we can create a community of value and look at and ways to add value to you on an ongoing basis if you've opened up and been part of the live ticket stub NFT today. So we're we think it's great opportunity to add more value to the relationship with that purchaser. And we're going to, we're going to keep experiment ideas on that front. The second question, I, I didn't quite even I didn't hear it well enough. Yeah. Joe and jump in on you.
Joe Berchtold: I'm Sorry. On the hyperly thing. No, I got it. I got it. Yeah. So on the hyper local strategy that we've been talking about absolutely applies in throughout Europe, throughout Mexico, Latin America, all of the markets in we're going into each country, we're establishing a beachhead, getting to some scale, leveraging that scale to then say, what are each of the specific markets that we can go to and expand the operation. So that's a core part. Somebody was talking earlier how we, when we make the acquisition, we grow it substantially. Well, our, our, with Germany, when we grew in, they were operating in two cities and then selling off the con the concert in all the other cities that there are 10, 12 cities in Germany where you could easily have the population to route your chore through. So that became the focus and that's how we grew that business. So we'll be following that playbook globally. It is a large part of when you look at the Tam and why the Tam is so large, it's because all of that demand exists through so many different markets, not just the ones where we're historically bringing shows to. Great. Thank you.
Operator: Your final question comes from Barton Crockett with Rosenblatt Securities. Please proceed with your question.
Barton Crockett: Okay, great. Thank you for taking the question. You know, I wanted to ask a little bit about this 60 tour marker booked already for 2023, which is you know, sounds compelling, but, but it'd be great to have a little bit more context. And I was wondering if this might kind of get at it. Can you give us a sense of at this time of 2019, how many tours, if any, did you have already booked for 2021? That might be one way to look at it. And secondarily if you've got 60 tours already booked for 2023, how many do you have booked right now for 2022?
Michael Rapino: I, I think I can give you generalities to make you feel good that '23 going to look good. I mean, that's obviously what you're, you're trying to get at. So I think in, if you look at '20 to your point of how many did we have booked, or how many would we be reviewing for, for, for a historic year at this time period, we would, we would be about double where, where a historic marker would be if you want to use that as a, as a basic line. So, 60 would be a, a fabulous number to be talking about this time of year for a, for a next year activity. So that's, that kind of gives you a kind of a robust feeling of what's what '23 will look to be.
Barton Crockett: Okay. And switch gears a little bit on the recession question. You know, back in the, the last kind of the great recession. Oh, 8 or 9 or 10 were concerts in your experience at live nation, more, a lagging indicator or a leading indicator, I would guess lagging. And so if there is a recession impact, you might be the last to feel it, but I was wondering if you had any thoughts about that?
Joe Berchtold: Yeah, it was a lagging indicator. It didn't hit till 2010. We had it for one summer. And I think we had a lot less data on the market then, than we have now, I talked about the secondary market and how that provides such great transparency today into the specific supply demand dynamics, the pricing, not just in the front of the house, but through the whole building. We didn't have that back then. So we were making a lot of decisions, a lot more blindly. So we have better information. We're set up to be much more nimble in terms of how we respond to that information. And again, that was the one year out of not just the last recession, but if you look over the past 30 years at a handful of different recessions, it was the one year when there was any
Operator: Decline in our business.
Barton Crockett: Okay. That's great. Thank you,
Operator: Ladies and gentlemen, we have reached the end of the question and answer session, and I'd like to turn a call back to Mr. Joe behold and Michael Rapino for closing remarks.
Michael Rapino: All right, everybody. Thank you. Have a great summer. We'll talk soon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you all for your participation.